Daniel Sundahl: Good morning from Asker, ladies and gentlemen, and welcome to TOMRA's Fourth Quarter Results Presentation for 2025. My name is Daniel Sundahl, and I'm Head of Investor Relations. As is usual, Tove Andersen, our CEO, will start today's presentation by giving you the highlights. And afterwards, CFO, Eva Sagemo, will dive deeper into the numbers and give you the updated outlook. And after the presentation, we will open up for Q&A for participants in the team's webinar. [Operator Instructions] We aim to conclude the presentation around 8:40 today. But without further ado, I give the word to Tove Andersen.
Tove Andersen: Thank you, Daniel, and also welcome from me to our quarter Q4 2025 presentation. And we present today a strong final quarter in a year that has been characterized by volatility and market uncertainties. In Collection, we report a record quarter, record revenue and record EBITDA, and we have seen that the rollout in Poland and Portugal is stepping up. Recycling, we are presenting a good quarter in a year that has been a weak year due to the challenging market sentiment. And in Food, we are seeing the results of the improvement initiatives and an improving market sentiment, and we delivered a strong quarter, which also then makes 2025 a record year regarding profitability in the Food segment. Let me then give you an update on the different divisions and our Horizon portfolio. I'll start with Collection. In Collection, we have had very good sales in existing markets in the quarter. As many of you know, we have a strategic ambition that we should grow our existing markets with 5% annually. And in 2025, existing market represented 87% of our sales. In this quarter, we saw particularly good growth in Continental Europe, partly then driven by our new innovations. And one of those are our multi-feed machines, the ones where you don't need to put one and one bottle into the RVMs, but you can just drop a whole bag of bottles into the machines. And we did increase our installations of multi-feed machines with 50% in 2025, and we have roughly now 1,100 multi-feed machines installed. Also in the quarter, we saw then installations in Poland and Portugal slowly picking up. We delivered 1,000 or installed 1,000 reverse vending machines in Poland in Q4. And if you look at the picture top right here, that is a picture from Poland. This is our S2 machine that we developed then specifically for Poland. It's an outdoor machine. And as you can see from the picture, it can endure cold weather, snow, rain and also warm weather. And a significant portion of what we are installing in Poland is this machine. But also as this picture illustrates, it's been quite a challenging period to install outdoor machines in Poland, and I'm very impressed by our service technicians and installation people that they have been able to install so many machines despite snowstorm and really bad weather. End of last year, we had roughly 2,600 machines then installed in Poland, and we are currently installing 100 machines per week. So we have roughly now 3,000 reverse vending machines in Poland. Also in Portugal, we are then stepping up installation. We installed around 300 machines in Q4, making the end of the year an installation base of 500 machines in Portugal. And today, we have roughly 700 machines in Portugal. But there is still much left to install. In Poland, as we communicated before, the first phase with the large retailers represent 10,000 to 12,000 reverse vending machines, and then we expect a significant tail, which could be 5,000 machines or even more. So we do expect that we will see a similar tail as we have seen in, for example, Romania, where we have been continuing installing machines still now so late after they go live. So actually, our installed base in Romania in last year grew with 20%. Also, we have seen similar things in Hungary where our installed base in Hungary last year, 2025, increased with 30%. Another highlight is that we have been appointed as a return point network operator in Singapore as 103 with a minimum installation of 350 RVMs. And we are very excited and looking forward to work with BCRS, which is the system operator there to make this successful launch of the first deposit system in Asia. And then, of course, this year, an exciting thing is U.K. U.K. will go live with a deposit scheme in November next year, November 2027. And we are seeing significant commercial activities there. We believe -- so many of the large retailers have already published an RFP, and we expect others to do it shortly. So we believe a lot of the contracts will be signed this year, but we expect most of the installations then to happen in 2027. Also in the U.K., there has been questions about if it's the whole U.K. that will go live next year or if Wales will not be part of it, and there were some positive news that came out yesterday. So it was a press release that the deposit return scheme for drinks containers in Wales, the regulation had been laid to the parliament. And it was then stating that they have now an agreement with U.K. where the debate has been around glass and that they now are planning to go live also then on 1st of October. Still need Senate approval, but it looks like everything is set up now for that the whole of U.K. will go live late next year. In addition to that, as always, we have included on the slide here the different countries. I'll give a short update on the ones that I haven't commented upon. Greece was supposed to go live late last year. It has been delayed, and there is not communicated yet a new start date. Moldova has announced that they are going ahead with the deposit scheme with the latest start-up in January 2027. And in Spain, we are waiting for the scheme operator to be appointed. There was an expectation that, that will happen late last year. It hasn't happened. And we are now seeing when it's going to happen. If it doesn't happen before May this year, there might be 1 year further delay. And you can expect that after a scheme operator is appointed, it takes 1 to 2 years before the scheme goes live. But overall, no question about if it's really about when. And of course, the underlying picture here is the targets that are part of the single-use plastic directive and the packaging waste regulation that all EU countries needs to meet the collection targets in 2029, which means that they will need to implement a deposit system. Then over to recycling. I want to start with that we really believe in the long -- mid- to long-term picture within recycling. The way that we are utilizing our resources today is not sustainable. If you look at all resources we use annually, less than 8% is circular. So this needs to change. And most waste streams comes as a mixed waste stream, which means that you need to have automated sorting to enable this at scale. However, currently, we do see a weak market sentiment, especially within plastics and waste in Europe, but also in the Americas. This is driven by low plastic prices. It's driven by that the new targets are not really kicking in before 2030 because in Europe, we have the packaging and the packaging waste regulation with the targets for 2030, which then to be met, you need to at least double the infrastructure in Europe. And it's also in Europe, the reason for weak market sentiment is import -- cheap import from Asia. And it's positive to see that the EU recognize the challenges that the plastic recycling industry in Europe has and are facing. And last week, they passed what they call a winter package, a circularity winter package, which is about how to implement the single-use plastic directive, especially then how to calculate for the recycled content saying that if you are going to include recycled material to meet the recycled content targets until late next year, November next year, it needs to be sourced from the EU. And after that, there needs to be a mirror process, which means that the imported material needs to meet the same strict regulations on environmental health and waste management as in the EU. So it's good to see that there are some movements there to secure that recycling industry in Europe. However, we don't expect then a short-term recovery. We don't expect a recovery in this market this year, and we'll see then what will happen next year. So that's why we had to take measures to ensure that we are regaining our profitability at the levels we wanted to be. Our revenue for 2025 is 18% down versus the year before, and we really need now to adjust and rightsize our organization to meet the current market sentiment. So that's why on Wednesday, we informed our employees in recycling about the cost reduction initiative. The objective of that initiative is to take us back to an EBITA percentage above 20% as soon as possible. We will take out EUR 16 million of cost. This will then have a full effect from next year 2027, and it represents approximately 175 positions. And also, we will work on optimizing our global footprint and the supply chain. And the objective there is really to use this opportunity also to look at our organizational setup so that we have a more scalable global operations going forward. Then to Food, very good year for Food last year. We really now see the impact and the effects of the improvement programs that we have put in place to cut costs but also to drive customer-facing commercial activities. At the same time, we see now a positive market sentiment in many categories. But we're also now much more well positioned to take a significant part of that improved market sentiment. So we are then also ending last year with a very strong order backlog with large orders to be delivered this year. Also good to see how the profitability has improved significantly. And as I said in my introduction, we have the highest profitability, both in absolute and percentage terms ever in our Food segment. But also as part of our improvement initiative in Food, we have worked a lot on our innovation agenda and our innovation road map, and we believe that it is crucial to maintain our good margins and to gain market share in the core categories that we are focusing on. So we have a pipeline of initiatives where we will then gradually launch new products. And last week, we launched our new Blueberry machine. So this is 5S Spectrim with LUCAi, which means it has built in our deep learning AI algorithms. Blueberries is a very important segment for us. It's a segment that is growing because of increased consumption. So it's increased planting areas coming. And when you have that, you also need the infrastructure to pack and sort those blueberries. And this machine, which I think looks amazing, and it's a very cool machine and is very well received in the market. It's about really increasing the throughput. Speed is always important. It's making sure that we spread the blueberries well, that we have less material staying in what we sorted out and the opposite. And actually, this machine per second, you can take 385 blueberries through it. So it's -- speed is very important. Very well received in the market, and we have already received orders for it, but it's a good illustration on also how we are constantly working now to keep our technology leadership to generate value going forward. Then to Horizon. Horizon is then our portfolio of business building ventures as we call them, where we are leveraging our competence and technology to build new businesses to create value going forward. c-trace is the company that we acquired a bit more than a year ago, which is then within smart waste management. Very happy with the performance of c-trace last year. They delivered according to our expectations with double-digit growth and an EBITA above 20%. Reuse is our venture for solving the problems with takeaway packaging and single-use packaging at events and festivals. Last quarter, we had the 2 pilots of our event solution, both the one in Oslo at the Intility Arena and then at the Fairground Festival in Hannover. And you see the picture bottom left here from Hannover, very cool solution where we are providing a technology solution where you have a barplate. So when you buy the beer in a reusable cup, it's automatically match with your payment method. After the drinking, you just throw it through a hole. You can even take all your friends' cups together with it and throw all of them, and they will automatically be identified with your payment cards, so you get the money back for the deposit. Very good feedback on this solution, and we are working now really hard on then a scaling plan for that. Feedstock is the venture where we are focusing on solving how to divert plastic from ending in landfill or incineration. We have invested in one plant in Norway there, Omra, and we had a very good start of operations in last quarter, and we ended then 2025 with a positive EBITDA run rate. Ramping up now to 2 shifts. We also have had a German plant in construction, and we have decided that we are putting the remaining investments of the German plant on hold due to the current market situation. And we rather want to utilize the flexibility we have to find an optimal setup of our assets in order to deliver the value in our offtake agreements, which has previously been announced. For feedstock, we are planning to have a positive EBITDA contribution in 2027. So that concludes my update. And as I said in the beginning, we end the year with a strong quarter, showing that even in a year marked by volatility and market uncertainty, TOMRA's strategic foundations are strong, and we are exceptionally well positioned for the growth cycles ahead. With that, I hand over to Eva.
Eva Sagemo: Thank you, Tove. And let's start with the group P&L for the fourth quarter. The fourth quarter ended at EUR 382 million, down 4% compared to a very strong Q4 last year. Collection ended up 2% compared to then a strong Q4 last year. Recycling down 27%, but in line with the conversion ratio that we estimated for the quarter and Food down 3%, however, strong, delivering above the estimated conversion ratio. If we look at the full year revenues, the revenues came in, in line with last year adjusted for currency effects. Gross margins ended at 46% in the quarter, in line with Q4 last year. Looking at the OpEx, we have a strong cost control across our divisions in the quarter with OpEx of EUR 105 million. That is slightly up compared to Q4 last year, where most of the increase is explained by high activity, adding in CLYNK and also inflation in the year. When we look at the EBITA, that results in an EBITA adjusted of EUR 71 million and an adjusted EBITA margin of 19%. And then looking into Collection. Revenues came in at EUR 207 million. That is 2% up compared to a very strong Q4 last year. In Q4 last year, we had strong sales from Austria preparing for its DRS, while this quarter, sales has come in from new markets such as Poland and Portugal. In 2025, existing markets have delivered well in line with our target of 5% annual growth, resulting of then 87% of total revenues. This year is stemming then from our existing markets. And when we look at the contribution from new market, that includes Poland, Portugal, Romania and Austria. And for gross margins in Collection, they have delivered a strong gross margin of 42% in the quarter, but also in the year compared to last year 41%. And the gross margin in the quarter has been positively impacted by business mix, but also release of warranty accruals. As I said, good cost control in our divisions also for collection with OpEx of EUR 47 million in the quarter, down compared to Q4 last year. That gives us an EBITA in the quarter of EUR 39 million and an EBITA percent of 19%. And for -- we talk always about the ramp-up cost in Collection for the year. And then for full year 2025, the ramp-up cost has been north of EUR 20 million in Collection. And then looking at the recycling results. The top line came in at EUR 75 million. That is down compared to a very strong Q4 last year, but in line with the conversion ratio that we estimated for the quarter. And as you can see from the overview, the weak performance continues in our biggest markets being Europe and North America, explained by the challenging market sentiment, both in the Plastics segment in Europe, but also in the waste segment in the U.S. Gross margin ending at 52% in the quarter, that is reduced compared to Q4 last year, however, improved compared to previous quarters this year, explained by the product mix and the segment mix in the quarter being more waste orders and that we have sold AUTOSORT machines in the quarter. And we are taking measures on cost in recycling. And with that, we have had EUR 1.2 million as restructuring costs in the quarter. If we look at the OpEx, it ended at EUR 19 million, which is slightly up compared to Q4 last year, but it's down compared to previous quarters this year. That results in an adjusted EBITA of EUR 21 million in the quarter for recycling and an EBITA margin of 27%. And as always, we look into the order intake, and that has continued weak also this quarter, explained by the market sentiment. And the order intake was down 20% compared to Q4 last year, resulting in an order intake of EUR 61 million. And that results in a declining order backlog, declining 12% compared to end of last year. And when we look at the trailing 12 months, recycling is down 25% on the order intake. Moving over to Food. Food came in strong at EUR 88 million on top line. That is down compared to last year, 3%, but higher than what we estimated on the conversion ratio. We have seen especially a strong quarter in the Rest of the World and a decline in Americas. But if you look at the full year, all markets have delivered a solid performance in 2025. Gross margin ending strong at 52%. It's significantly up compared to Q4 last year and historically, the strongest that we have had in Food. And the strong margin is a result of a combination of the full year cost savings effect, but also positive product mix and release of warranties and tariff accruals. If we look at the OpEx, it ended at EUR 29 million, which is then flat compared to Q4 last year. And as a result of the strong gross margin in the quarter, EBITA ended at 18% in Q4, resulting then in a record EBITA margin for the year of 13%, which is then an overachievement of our target of 10% to 11% EBITA for the year. And also here, looking into the order intake and for Food, we have seen a continued positive momentum in the order intake throughout the year. We are up 2% compared to Q4 last year, ending then at EUR 86 million. And as I said, all regions have delivered a solid performance, and we see especially an uptick in the citrus category this year. The order backlog was up then 26% compared to Q4 last year, ending then in a backlog of EUR 136 million. And also here, when we look at the trailing 12 months of order intake, it's up 12%. Still a solid balance sheet for TOMRA end of the year. And if we look into the cash flow for the quarter, it ended at EUR 24 million. It's down compared to a very strong cash flow from operations in Q4 last year. And that is explained by timing effects of customer payments and release of contract liabilities. And that's also something that you can see in the cash conversion cycle for the year. Equity ended at 35% and the gearing at 2.3 and our ROCE ended at 15.2% ending 2025. Looking at the financial position, it's a nice spread of our debt maturity ending the year at 4.2 years and in average. And then we had undrawn facilities of EUR 54 million ending 2025. And moving over to the outlook. And starting with Collection. As always, we mentioned that it's a high activity related to deposit return systems in new markets, but also growth in existing markets. And the short and midterm performance will, of course, depending on the timing in the new markets, but also the activities happening in the existing markets. And when we look at 2026, we need to separate the growth expectations into what is coming from existing markets and what is coming from new markets in Collection. And starting with existing markets, we expect revenue growth at mid-single digit annually on average, which aligns with our strategic ambition for this division and also what we have delivered in 2025. And then for new markets, we expect Poland, Portugal and Singapore to contribute with approximately EUR 100 million from current orders. And on top, as Tove said, there is an attractive tail in Poland, similar to what we have experienced in Romania with independent stores, representing then a total market opportunity of approximately 5,000 machines or more where we already have a dozen preferred supplier agreements at hand. However, the timing of sales into this segment can follow a trend as what we have seen in Romania, meaning that they take -- that the revenue will come over a period of time after the market has gone live. Another new market activity worth mentioning is the ramp-up of volume in Tasmania as well as continued contribution from Romania and Austria. And in addition, we will have the full year effect from CLYNK, the company that we acquired in September in 2025, expected to come in at around EUR 25 million in revenues for 2026. And then for gross margins in Collection, it should continue to stay above 40%, but the quarterly variations may occur depending on the sales mix between the quarters, meaning in quarters when we sell more equipment, the gross margin will be normally lower. We expect a continued good cost control in Collection. However, we might have OpEx variations between the quarters depending on investments into new markets. And when it comes to investments into new markets, this is where the ramp-up for OpEx run rate comes in, and we estimate that to be at around EUR 20 million for the full year, so the same level as we have had in 2025. And then over to the outlook for Recycling. And as Tove mentioned, despite the belief in the strong long-term drivers like regulation and the demand for recycled materials, the market is currently facing challenges. And as a result of that, timing of orders in recycling is uncertain. And this challenging environment is expected to continue throughout this year and then possibly into 2027. And we have taken measures to restore our profitability already announced this week, where the target is to come back to an EBITA margin above 20% as soon as possible. And with the cost savings program that we have announced, we target to save a gross EUR 16 million as an annual run rate, and that will have a full effect in 2027. And the cost of that will be approximately EUR 15 million. And the cost saving will be approximately 1/3 in COGS and 2/3 in OpEx. And we expect the savings to be gradually implemented in the year, so more towards the end of 2026 as it takes 3 to 6 months to execute on the program. And that means that we will have approximately 50% of the savings as an effect in 2026. And then looking into the coming quarter, we estimate a conversion ratio of 40% of the backlog as revenue in Q1. And with the market uncertainty, it's important to mention that there is a risk that orders may be postponed over quarters for recycling. And as we know, volumes and product mix impact the gross margin in recycling. And in 2025, we have had lower volumes than previous years and in combination with a higher share of metal orders being delivered, these 2 factors impact the overall margin in 2025. And then looking into Q1 and the conversion ratio that we now have indicated of 40%, the volumes are estimated to be on the lower end. And in the combination with product mix in the order backlog, this will have an impact on the margin for Recycling. And for Food, the outlook in Food, here, the drivers are the automation and higher standard for food quality and safety, and that creates new opportunities for our business division, Food. And although the market has now normalized, macroeconomic uncertainty may still influence customers' willingness to invest. Food growth -- revenue growth for 2026 is projected to reach mid- to high single digits. And looking into Q1, we estimate a conversion ratio of 55% based on the order backlog ending the year. And then the restructuring and cost reduction program has improved the gross margins in Food. And in 2025, the product mix that we have sold less third-party equipment in addition to release of accruals have impacted the gross margin positively. And for 2026, we expect the gross margin to remain in the mid-40s based on project and product in the order backlog. However, we might see quarterly variations dependent then on volume, business and product mix. And we have delivered a robust EBITA margin of 13% in 2025, which is ahead of our ambition to reach a mid-teen target by 2030. And for 2026, we expect maintaining strong performance in Food with an EBITA margin of approximately 12%. And why 12%? The outlook builds on the positive momentum from 2025, but we anticipate changes in the product mix and an increase of third-party equipment sales, especially given the large orders that we are -- that we have in the order backlog that is going to be delivered into 2026. And then over to Horizon and the outlook, that is where we have the venture activities, feedstock and reuse and also c-trace. And c-trace have delivered a strong year in 2025 with double-digit growth in EBITA above 20%, and which is then projected to continue into 2026. And for feedstock, it's all about ramping up the capacity at Omra, where we plan to increase it to now 2/3 of full capacity. And we expect a positive EBITDA contribution in 2026 from the Omra plant, given the successful capacity ramp-up and also current market prices. And then as Tove said, a positive EBITDA in 2027 already. And then with the underlying OpEx for feedstock and reuse for business building, that is expected to remain in line with 2025 levels, but we will have an increase in costs related to Omra with ramping up Omra and also c-trace due to higher activity levels. So the OpEx run rate estimated for Horizon as a total is estimated to be around EUR 40 million for the full year 2026. And then lastly, on CapEx, the total CapEx for the year is estimated at approximately EUR 100 million, and that will be primarily directed towards our core divisions, meaning collection, food and recycling. And we do not expect large CapEx investments into Horizon, explained also by the remaining investments in the German plant, the feedstock plant is now put on hold. So with that, I think we end on the financial side, Daniel, and can move into Q&A.
Daniel Sundahl: Thank you, Eva, and thank you, Tove. We will then take questions. [Operator Instructions] And I see that we have a few questions coming in. The first one coming in from Elliott Jones at Danske Bank.
Elliott Geoffrey Jones: Congrats on the results this morning. Just a couple of things for me. On Collection, yes, you mentioned this in the outlook that kind of orders equate to EUR 100 million in sales for 2026. And like you said, it's just current orders that you've received and maybe obviously more to come from Poland alone and the others. But can you just help us understand kind of in general, what the time lag is between you receiving orders and then being able to kind of deliver them just on a general basis?
Eva Sagemo: Yes. On a general basis, it's -- I think it's -- I think we need to discuss more specific for Poland, right? Because as Tove said in her note on collection is that we have an installation plant for Poland with 100 machines per week, and that's kind of like the phase that we are now working according to. And as you know, we announced contracts during the fall, and that's what we are now delivering according to, and it's included in the EUR 100 million revenues on the current order base. So that includes Poland, Portugal and Singapore.
Tove Andersen: And if I can add to also what we said is that in Poland, we expect deliveries on the existing contracts first half of this year. And as Eva said, we have a dozen of frame agreements with the smaller retailers, which means that the frame agreement is there. So it's just a call off and that could be very quick. So a retailer can just order a machine and it could be delivered a few weeks later. So on those, we have a very quick turnaround.
Elliott Geoffrey Jones: Got it. And then also just a question on operational leverage in Collection. Yes, if you kind of look back all the way to kind of Germany, I know that TOMRA kind of had an OpEx base that was able to be stable as revenue started to take off. And obviously, you just made comments on ramp-up costs this year being north of EUR 20 million in 2025. You said EUR 20 million in 2026. So I just want to kind of kind of test like beyond 2026 when there's more new markets coming, how do you stand with regards to that, do you expect any kind of big jumps in OpEx? Or would you say that along the way, you have been investing in regions such as France and Italy and the like already?
Tove Andersen: Yes. So the way -- first of all, we're doing quite a bit now on structuring Europe in a good way. In collection, we just reorganized the whole region to make sure that we are really set up to run that efficiently as new markets are coming along. On the kind of backbone, the operational backbone, the supply chain, procurement, production, et cetera, is well set up to handle then the growth. But what you have to expect that each time a new market comes, we need salespeople on the ground, we need service people on the ground. So of course, there will be some OpEx coming in every market, while at the same time, we are working on ensuring that we have as much operating leverage as we can.
Daniel Sundahl: And the next question is coming from Adela Dashian at Jefferies.
Adela Dashian: Yes, if we first could start on Collection. I appreciate the guidance of EUR 100 million revenue contribution in 2026 from the newer markets. But when I plug that into my model, I still have a difficult time getting up to a double-digit growth rate for the full year for Collection, given that existing markets are growing by mid-single digits. So could you just explain if you -- and I guess also with U.K. now not coming live until late 2027, could you explain like what's the -- how you will achieve double-digit growth, which is what consensus is assuming right now?
Tove Andersen: So as Eva explained, so we are from the existing contracts. So in Poland, that is the large retailers with existing contracts, the contracts we have in Portugal and Singapore that represent EUR 100 million to be delivered and most of that in first half of this year. Where we land the year will then depend on additional sales into these markets and additional sales into Romania and Austria.
Adela Dashian: I see. Okay. So it's just based on those confirmed orders. Okay. Makes sense. On recycling, I'm assuming that there was no -- it was a quite nice beat versus expectations, but I'm assuming that the restructuring effects, I mean, it's very, very subdued. These were now so no effect of that in Q4. So could you explain, was it a sequential better mix as well that drove the results in the quarter? And also on the restructuring costs, what should the phasing be in the quarters?
Eva Sagemo: Yes. I'm not sure if I got the first question, Adela, but I can answer the other one, and then maybe Tove can fill in if she got the first one. So on the restructuring cost, it will be -- it's estimated to come in, in Q2 and Q3 at large, of course, depending on how this restructuring program will go into effect in the year.
Tove Andersen: Yes. And we had EUR 1 million in restructuring costs in Q4. So that was the only effect in Q4 from the restructuring.
Adela Dashian: Sure. And maybe...
Daniel Sundahl: Yes, sorry, Adela. On recycling, the mix that we delivered was more normalized into waste. But however, the order backlog still has a higher share of metals in it to be delivered going forward.
Adela Dashian: Okay. I see.
Daniel Sundahl: Good. Thank you, Adela. The next question will come from Fabian J�rgensen at Pareto.
Fabian Jørgensen: All right. If we talk Spain and U.K. phasing, Spain is obviously a bit more uncertain. We say that the RFPs for U.K. have already started. Spain is a much more consolidated market than, for example, Poland, Romania, where you have the long tail end. When do you expect the capacity to be all rolled out in the U.K.? Is this a play where you expect most to be in place by October, meaning that sales could start in late 2026? And how should we think about that?
Tove Andersen: So we expect that the U.K. start will be a hard launch. That's the current expectation. You know that in Poland, we had a soft launch. They had a 3-month grace period. We don't expect that to happen in the U.K. It can change, but at least that's what is communicated, which means that you should expect a significant portion of the installation to happen before the go-live date.
Fabian Jørgensen: Exactly. Okay. And so I think one of the most important things to note in the report is the margins here. Food was obviously very great again, similarly to Q2. But also on Collection, you state that the added cost for 2026 is very limited. And if you look at consensus estimates now, what they basically assume for 2027 is that OpEx in Collection expand 30% to 40% relative to 2025. Is that way too high?
Eva Sagemo: So on the OpEx for 2027, that's down the line, and we need to come back to that at a later point, Fabian. What we have said is...
Fabian Jørgensen: Does it make sense that it's up 30%?
Eva Sagemo: It depends on...
Fabian Jørgensen: To your business model. Do you think so?
Eva Sagemo: I think. Yes, I think the level of the OpEx depends on the activity in the markets, right? So what we are working according to is to have good cost control in Collection and across the divisions that we have. And then, of course, a large part of TOMRA Collection is related to existing markets. And then for new markets, we manage the activity going into new markets in a very prudent way. So cost will, of course, occur with going into new markets, but the levels we need to come back to.
Daniel Sundahl: And the next question is coming in from Morayo Adesina at Barclays.
Morayo Adesina: Just one for me, just a follow-up on the product mix in recycling. So I know that there was some softness in the waste recovery segment of recycling in 2025. Are you now saying that we're seeing that coming back, especially in the U.S.? I know that there was some sort of effects from the geopolitical backdrop yes, just wondering where we're at on that.
Eva Sagemo: Yes. Not necessarily. So what we see in the quarter is a result of what we had in the order backlog for the year. And in Q4, we had more waste projects into the -- to be delivered to the P&L. So that's the reason we don't necessarily see a recovery in the waste segment because of that.
Daniel Sundahl: And we will take 2 final questions, one from Markus Heiberg at SEB.
Markus Heiberg: So a 2-parted question on the competitive position in recycling. So the first one is how do you see the competition there now as the market is softer in plastics, are you seeing higher competition? And also maybe in metals, are you seeing any changes there? And the second part of that question is now as you are downscaling your cost base, are you seeing that impacting your own product road maps? And I imagine there are some opportunities there in AI and what's happening there. So some discussions on that will be interesting.
Tove Andersen: Yes. So first of all, it's clear that our competitors are experiencing exactly the same as us. So we are not losing market share. It is the market that is down. But that also means, of course, it becomes very competitive on the orders that are out there. So in a situation like this, yes, there are pressure on margins, but we are still, I feel in a very good competitive situation versus the others. When we are -- what we are doing is rightsizing the organization. We have reduced turnover with 18%. We are not 100% sure when it will come back. It will come back, but when it will come back. So we need to take down our organization to meet the current market sentiment, which means that we are reducing all over in recycling, including that we are reducing on some of our innovation activities because also we see that the market will not be there to take those innovations and we can get real value of it short term. At the same time, we have been very focused on making sure that we don't take out things that will make us less competitive when the market comes back. So this is, of course, a balance. So we believe that we have the balance right, which means that we are still investing into our innovation portfolio, including AI with the new organization or the new manning that we will have then as of -- yes, mid this year.
Daniel Sundahl: Thank you, Markus. We have one last, but no longer in the queue. So I think with that, we have reached the end of today's presentation. Thank you very much for tuning in. The next time we will be here is on the 24th of April for our Q1 results the day after AGM. Looking forward to seeing you then. Until then, have a nice day, and goodbye.